Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 0:07 Good morning, everyone and welcome to the Marcus Corporation Fourth Quarter Earnings Conference Call. My name is Charlie and I'll be coordinating your call today. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of the conference. [Operator Instructions] As a reminder, this conference is being recorded. 0:30 Joining us today are, Greg Marcus, President and Chief Executive Officer; and Doug Neis, Executive Vice President and Chief Financial Officer of The Marcus Corporation. At this time, I'd like to turn the program over to Mr. Neis for his opening remarks. Please go ahead sir.
Douglas Neis: 0:46 Thank you, Charlie and good morning, everybody. Welcome to our fiscal 2021 fourth quarter conference call. As usual, I need to begin by stating that we plan to make a number of forward-looking statements in our call today, all of which we intend to qualify for the Safe Harbors from liability established by the Private Securities Litigation Reform Act. Our forward-looking statements may generally be identified by our use of words such as we believe, anticipate, expect or words of similar import. 1:13 Our forward-looking statements are subject to certain risks and uncertainties which may cause our actual results to differ materially from those expected. Listeners are cautioned not to place undue reliance on our forward-looking statements. The risks and uncertainties, which could impact our ability to achieve our expectations identified in our forward-looking statements are included under the heading Forward-Looking Statements in the press release that we issued this morning, announcing our fiscal 2021 fourth quarter results and in the risk factors section of our most recent quarterly report on Form 10-Q and our fiscal 2020 annual report on Form 10-K, each of which you can access on the SEC's website. 1:52 We'll also post our Regulation G disclosures when applicable on our website at www.marcuscorp.com. The forward-looking statements made during this conference call are only made as of the date of this conference call and we disclaim any obligation to publicly update such forward-looking statements to reflect subsequent events or circumstances. 2:11 In addition, we routinely post news releases and other information regarding developments in our company that impact our investors, customers, vendors and our shareholders and you should look to our website www.marcuscorp.com, as an important source of information regarding our company. 2:28 So with that behind, let's begin. Our call will follow the usual format where I start by spending just a couple of minutes briefly sharing a few numbers from our quarter and year with you and I'll discuss our balance sheet liquidity. I'll then turn the call over to Greg, who will focus his prepared remarks and where our businesses are today, and what we're seeing ahead both short and long-term. We'll then open the call up for questions. 2:51 So you've seen the numbers, our recovery continued in the fourth quarter and for the second consecutive quarter, we're reporting positive net earnings and significantly improved positive adjusted EBITDA. This quarter it was our theater division that led the way which was great to see. We once again had a couple of nonrecurring items this year and last year, all of which are detailed in a non-GAAP reconciliation that we included at the end of the press release and as we discuss adjusted EBITDA in our remarks today, I do want to refer you to the disclosures we provide in the press release regarding the use of this non-GAAP measure in evaluating our performance and its limitations. 3:31 So I said this last quarter, but it's worth saying again, what a difference a year makes. During our fourth quarter last year, we reported adjusted EBITDA of a negative $28 million, and this year we're reporting adjusted EBITDA of a positive $29 million, a swing of approximately $57 million and we look at our completed fiscal year, you'll see that the adjusted EBITDA increased by nearly $107 million, as we went from a negative $72 million last year to a positive adjusted EBITDA of $35 million in fiscal 2021. 4:05 In the second half of fiscal 2021, our businesses generated approximately $54 million in adjusted EBITDA. Now we provided a breakdown of these numbers by operating segment in our press release where you can see that our theater division contributed the majority of our fourth quarter adjusted EBITDA. We ended the year with both divisions contributing approximately $24 million, $25 million in adjusted EBITDA for the year, prior to unallocated corporate losses. 4:35 Now getting back to the financial statement for a second, there were a few variations in our numbers below operating income worth briefly mentioning, while our full fiscal year interest expense understandably was higher than last year, our fourth quarter benefited from the reduced borrowings because of our improved operating results and the fact that last year's interest expense included non-cash amortization of debt discount on our convertible notes, the accounting which changed beginning in fiscal 2021. 5:04 Now offsetting that reduction in interest expense for the quarter, however, was a non-recurring item in last year's other expense line and reduced gains from disposition of property, equipment and other assets this quarter. I'll point out that for the full-year, we had over $3 million in gains on disposition of assets. 5:22 Shifting gears away from the earnings statement just for a second, our total cash capital expenditures during the fiscal 2021 ended up at approximately $17 million, with a large portion of these dollars being spent on 2 projects, a theater renovation and a lobby renovation and the beginnings of a guest room renovation at our Grand Geneva Resort and Spa, with the rest going towards normal maintenance projects. 5:45 As we look towards capital expenditures for fiscal 2022, we're currently estimating that our fiscal 2022 capital expenditures may be in the $35 million to $45 million range. Of course, our actual expenditures during the year may vary and will depend on the timing of several planned projects, as well as potential opportunities that may arise. 6:06 Let me now provide some brief financial comments on our operations for the fourth quarter and fiscal year and I'll start with the theater division. We continue to experience increased per capita spending by our customers in our theaters. Comparisons to last year's fourth quarter are not particularly useful, given that nearly half of our theaters were closed during the portions of the quarter last year and we have a limited amount of new films. But our average admission price increased by 11.1% during the full-year fiscal 2021, compared to last year and increased by 10.7%, if you want to compare it to fiscal 2019 pre-pandemic. 6:44 Our premium large format screens continued to outperform compared to our regular screens, contributing to this overall increase in our average admission price. Meanwhile, our average concession and food and beverage revenues per person at our comparable theaters increased by 15.6% for the full-year fiscal 2021, compared to last and that's comparing to last year and has increased by 23.4% if you compare it to fiscal 2019. 7:14 Our industry-leading mix of non-traditional food and beverage options, shorter lines of the concession stand particularly earlier in the year and the emphasis we're placing on encouraging guests to purchase concessions in food and beverage ahead of time, either online or using our mobile app and top of the fact that we just believe this is an overall a general pent-up demand for a return to normal, all of these we believe has contributed to our increased per capita revenues. 7:41 Since the significant number of our theaters in both our circuit and the industry as a whole were closed during the large portions of the fourth quarter last year, we believe a comparison of our results to pre-pandemic results in fiscal 2019 still may be the best way to compare our performance to the industry this quarter and fiscal year. When you compare our fourth quarter admission revenues to fiscal 2019, our admission revenues were down 21.4% during the quarter and 54% for fiscal 2021 for the full year, when you compare it again towards fiscal 2019. 8:18 Now according to the data received from Comscore and compiled by us to evaluate our fiscal 2021 fourth quarter and fiscal year results, United States box office receipts decreased 23.5% during our fiscal 2021 fourth quarter and 59.6% during our fiscal 2021 full-year, both compared again to US box office receipts during fiscal 2019. As a result, we believe our admission revenue decline outperformed the industry average by over 2 percentage points for the quarter and nearly 6 percentage points for the full fiscal year 2021. 9:01 Shifting to our Hotels and Resorts division, the same logic applies. Comparing our total revenue per available room or RevPAR to last year does not provide particularly meaningful numbers, so we believe comparing the same metric to pre-pandemic levels in fiscal 2019 does help provide perspective on the pace of the current recovery. 9:21 Our RevPAR for our 7 comparable owned hotels decreased just under 20% during the fourth quarter and was down approximately 30% for the full-year fiscal 2021, again compared to the same period during fiscal 2019. I'll point out these numbers exclude the Saint Kate, which was just reopened during the third quarter of fiscal 2019 and was closed for major portions of the first 2 quarters -- for the first 2 quarters and even a little bit of the third quarter in 2019, so we excluded that hotel in that math. 9:56 According to data received from Smith Travel Research for the fiscal 2021 and fiscal 2019 periods and compiled by us in order to compare our results, our hotels outperformed comparable upscale hotels throughout the United States during the fourth quarter and fiscal year by a significant 1.6 points and 9.6 points respectively during those periods. The data also indicates our hotels outperformed competitive hotels in our market by approximately 2.7 points during the quarter and 6.9 points during the fiscal year, again compared to fiscal 2019. 10:35 Breaking out the fourth quarter numbers for the 7 comparable hotels more specifically, our overall RevPAR decreased during the fiscal 2021 fourth quarter compared to fiscal 2019 was due to an overall occupancy rate decrease of approximately 16.5 percentage points, offset by a 5.5% increase in our average daily rate or ADR. Our average fiscal 2021 fourth quarter occupancy rate for hotels was approximately 52%. 11:07 Finally, before I turn the call over to Greg, let me also briefly comment on our balance sheet and liquidity. As our press release notes, our liquidity remains extremely strong with $239 million in cash and revolving credit availability at the end of fiscal 2021. At the end of the fiscal year, we had no borrowings on our $225 million revolving credit facility. Our liquidity position was further bolstered by an income tax refund of over $22 million that we received after year-end, as well as state government grants of $4.3 million accrued during our fiscal 2021 fourth quarter, but not received until early in fiscal 2022. 11:48 We also had proceeds from the sale of a retail center and a former theater totaling nearly $13 million during our fiscal 2021 fourth quarter, bringing our total sale proceeds to over $22 million during fiscal 2021, as we continue to take advantage of opportunities within our substantial real estate portfolio. We believe we may have a -- we may receive additional sales proceeds from real estate sales during the next year, totaling approximately $10 million to $20 million depending upon demand. 12:20 We ended the fiscal year with a debt to capitalization ratio of 36.7% and to put that number in perspective, our average debt to capitalization ratio during the 8 years preceding the pandemic was 38.5%. I find that pretty remarkable given what our businesses have been through the past 2 years and it's a testament to our philosophy of owning our real estate and keeping our balance sheet strong. 12:45 With that, I'll turn the call over to Greg.
Gregory Marcus: 12:48 Thanks, Doug. Before I make a few comments on our operating businesses, I want to briefly pick up where Doug just left off. Last quarter I started my prepared remarks by highlighting a few key differentiators for The Marcus Corporation, including our balance sheet, significant real estate holdings and our diversified business portfolio, all 3 of those elements were on display again for all to see during the fourth quarter as well. 13:15 You just heard from Doug about the continued strength of our balance sheet and liquidity position. He also shared with you that we continued to selectively monetize surplus and non-core real estate during the quarter, further strengthening our balance sheet. And with a much more limited exposure to fixed monthly lease payments, we enter fiscal 2022 with a minimal amount of deferred rent and a greater more flexibility than our peers. 13:41 In addition, our diversified business model once again paid off as well. Last quarter, we had just reported our first profitable quarter since the start of the pandemic. Thanks in large part to a very strong performance from our hotels and resorts division. As winter arrived and the hotel business experienced its typical seasonal slowdown, we were still able to report another profitable quarter this time and the strength has significantly improved theater results. 14:09 As you know, we view the world through a long-term lens. As I've said since the onset of the pandemic, the recovery path we are on may not always be a straight line and we recognize that neither of our businesses are back to pre-pandemic levels yet. But I do believe unequivocally that these key differentiators for The Marcus Corporation are major strengths for our company and have contributed to both our long-term progress and our long-term success. 14:38 The fourth quarter and fiscal year that we are reporting today were yet additional steps in our recovery and we're pleased to be sharing these results with you. So let me start my divisional remarks with our hotel division. Doug shared some of the numbers with you including comparisons to our pre-pandemic fiscal 2019 numbers and the fact that data indicates that we once again outperformed both the industry and our competitive sets this quarter. 15:18 As expected occupancies dropped off from our high point during the third quarter due to typical seasonality for our hotels, but overall, it wasn't a bad quarter for this division. They were profitable once again, contributed over $4 million in adjusted EBITDA, with the drive to leisure segment leading the way once again, particularly on weekends. 15:24 We were particularly pleased with the continued strength of our average daily rate during the fourth quarter and second half of the fiscal year. And while you have heard me say this before, it bears repeating. Our outperformance is also a direct reflection on the quality of our hotels and resorts and the operational excellence of our outstanding hotel team, both in the corporate office and in each hotel. Stated simply, we've always had some of the best properties and best people in our respective markets and it doesn't surprise us that we've outperformed during this period of recovery. 15:57 The arrival of the Omicron variant came at a time that is historically our slowest time of the year for our hotel division, so the impact was more subtle. We did have some cancellations and re-bookings for later in the year and generally resulted in a delay in a more robust reopening of offices. 16:13 As you've heard me say before, we've always believed that in order for the business traveler to return to pre-pandemic levels, it all begins with employees returning to offices. That then can lead to businesses getting comfortable with their employees getting back on the road to see clients, potential clients, remote offices and plants, et cetera, as well as going to group events and conferences. Now that cases are once again dropping significantly, restrictions are being lifted and new CDC guidance is out reducing the need for masks. We are hearing of offices gearing up for a greater return of associates and we are optimistic that we'll continue to see improvement in business and group travel. 16:51 We've seen a noticeable improvement in our group room booking activity in recent weeks and while our group room revenue bookings for fiscal 2022 commonly referred to in the hotels and resorts industry as group pace, are still running behind where we would historically be at this same time in pre-pandemic years, it is quite an improvement from where we were last year at this time and the increased amount of activity and leads we are experiencing suggest to us that we may further close the gap by the time we get through 2022. 17:20 Banquet and catering revenue pace for fiscal 2022 is also running behind where we would typically be at this same time in prior years, but we continue to experience very strong wedding bookings, some of the bigger events in the past are once again booking for 2022 and beyond. Overall, we generally expect our revenue trends to track or hopefully continue to exceed the overall industry trends for our segment of the industry, particularly in our respective markets. As in the past, our results from this division will vary by quarter due to the seasonality our properties historically experience, but on a relatively year-over-year basis, we look for continued improvement during this ongoing recovery. 17:58 And as I've said in the past, we believe we have special assets that make our portfolio unique and give us the ability to pivot to other customer segments, while we wait for business travel to fully return. As we look to 2022 and beyond, our team is actively shifting its focus away from navigating the pandemic and towards rebuilding and once again growing our Hotels and Resorts division. In our Annual Report on Form 10-K that we are filing today, we highlight key strategies in three key categories operational excellence and financial discipline, portfolio management and strategic growth. 18:35 Strategies for operational excellence and financial discipline include sales, marketing and revenue management strategies designed to further accelerate the pace of the recovery, focusing on leveraging strong leisure demand, driving average daily rate, rebuilding group demand and growing ancillary revenues. While keeping the guest experience at the forefront, we also take a hard look at how we deliver our services with human resource and technology strategies that adapt to a changing labor market. We'll continue to take a hard look at how we can do more with less and how we can use technology to enable that effort. 19:08 For example, at one of our hotels, we are currently testing the use of a robot to clean bathrooms. Portfolio management strategies will include continued reinvestment in our existing properties to maintain and enhance their value. For example, we anticipate additional reinvestment during fiscal 2022 and 2023 at the Grand Geneva Resort and Spa, and The Pfister Hotel, 2 of our most iconic properties. 19:31 We also recognize that there can be a time when the best option may be to monetize a given asset and we routinely evaluate our strategy for each property against our expectations for future value creation. As a part of portfolio management, we are also actively seeking opportunities to invest in new hotels and increase the number of hotel rooms under management in the future. That could come in a variety of ways including pursuing additional new management contracts and by seeking opportunities where we may act as an investment fund sponsor or joint venture partner in acquiring additional hotel properties. 20:03 As we highlighted in that release in December, we announced the formation of a joint venture to do just that, with the JV then acquiring the Kimpton Hotel Monaco Pittsburgh and we hope to find additional opportunities in the months and years ahead. So now let's shift to our theater division. Doug went over the numbers with you including our tremendous increases in per person revenues and as you saw, we experienced significant improvement in this division during the fourth quarter, returning to profitability once again. Not coincidentally, our improved results coincide with the release of more new films by our studio partners, several of which were highlighted in our press release. 20:39 And of course, we ended the fiscal year with the biggest movie of all, Spider Man: No Way Home, which has now become the third best performing film of all time. The performance of that film certainly answer any questions about whether an exclusive theatrical showing of a blockbuster film could still generate blockbuster results. Spider Man answered that question with a resounding yes. In fact, we believe there were several takeaways from the holiday season. 21:05 We believe approved there is strong demand for affordable out-of-home entertainment. Spiderman wasn't the only to draw our theaters -- to draw to our theaters over the holidays. Films such as Sing 2, Ghostbusters: Afterlife and American Underdog for example brought families back to the theater as well and that carried into early 2022. 21:24 No other distribution channel for film content matches the experience of watching a movie on the big screen. We believe the numbers once again point out the importance of an exclusive theatrical release window as a means of maximizing the performance of film content over its life cycle. Meanwhile, we don't think it's a coincidence that films released today, and date have consistently underperformed, and we saw that again this holiday season as well. It's been a long road back for our theater division, but when look at the quarterly progress we've made during fiscal 2021 tells a great story. 21:58 Our total theater division revenues expressed as a percentage of fiscal 2019 total revenues increased every quarter of fiscal 2021, increasing from 20% in the first quarter to 32% in the second quarter, 59% in the third quarter and 82% in the fourth quarter. Like our hotel division, one of the highlights of the quarter was our continued outperformance versus the industry. 22:20 As Doug shared with you, based on industry data available to us, we believe we once again outperformed the industry during the fourth quarter and for that matter throughout fiscal 2021. Additional data received to compile by us from Comscore indicates our admission revenues during fiscal 2021 represented approximately 3.5% of the total admission revenues in the US during the same period. This is commonly referred to as market share in our industry. This represents an increase over our reported market share of approximately 3.2% during the comparable period of fiscal 2019 prior to the pandemic. 22:56 Once again, I want to call out our outstanding teams in our theaters and in our corporate office. Like their counterparts in our hotel division, they've had to navigate through an uncharted period of time, while dealing with some of the same labor shortages most businesses are dealing with these days. And they've done so with incredible effort and dedication. This is particularly the case during our incredibly busy last weeks of December due to the success of Spider Man. 23:21 The Omicron variant certainly impacted our theater division as well, particularly early in fiscal 2022. Several films were shifted out of January and February to later in the year, so it's likely that our first fiscal quarter will not be a particularly strong one, but still will be significantly better than last year and there's plenty to be optimistic about as we look ahead to the rest of fiscal 2022 and beyond. 23:43 As cases have declined rapidly in recent weeks and restrictions have been lifted, we've once again seen an uptick at the box office, several new films have performed better than expected in recent weeks and tonight, the very well-reviewed film, The Batman opens up to an exclusive theatrical run. You may remember that last year at this time, all of Warner Bros. films were released day and date with HBO Max. We are obviously biased, but we believe 2022 will be the year of the return to an exclusive theatrical release window for a significant majority of new films. 24:14 One look at the film line-up for the remainder of fiscal 2022, many of which are listed in our press release, and you can see why we are excited about what lies ahead for this business. Another reason for the optimism is the most recent survey data released by the National Association of Theater Owners regarding consumer sentiment towards movie going. After dipping back into the mid 60% range with the onset of the Omicron variant, the percentage of those surveyed saying they are very or somewhat comfortable going to the movies once again hit 80% this week. 24:45 This is just a point shy of the pandemic all-time high hit on July 11, 2021. The improvement in percentage of positive responses from females 35 plus was particularly encouraging, as we look for the overall customer base to broaden in the months ahead. We recognize that the industry is still recovering, and the film studios are still navigating this environment, but we're excited about building upon the progress we've made so far in our theater division, and we look forward to continued improvement in the periods ahead. 25:14 With that in mind, like our hotel division, we believe the time has come to focus less on navigating through a pandemic and instead look ahead, so we can take our theater business in the years ahead. In that same annual report that I referenced in my hotel remarks, you will also find our current plans for our theater division. 25:30 Our team has organized their plan under 3 main sections, maximizing and leveraging our existing assets in a post-pandemic world, reinventing and modernizing the out-of-home entertainment experience and strategic growth. Strategies for maximizing and leveraging our existing assets include additional investments in our industry leading amenities, including our proprietary premium large format screens and food and beverage concepts. 25:53 We will also have a number of strategies to continue to evolve and energize our loyalty program and modernize our pricing programs. Expanding the use of technology in all facets of our business and looking for additional ways to monetize our lobby, screens, website, and app with additional ancillary revenue generating opportunities will also be an important part of the section of our plan. 26:16 Our goal is also to continue to introduce and create entertainment destinations that further define and enhance the customer value proposition for movie going and the overall out-of-home entertainment experience. Strategies to achieve this goal are expected to include testing and launching a variety of new programs, with concept such as a subscription program and various additional entertainment options within our theater auditoriums on the table. 26:42 For example, at our theater in Gurnee Mills, we have converted an auditorium to what can best be described as a sports bar like no other. With the addition of 8 high-definition monitors, 75 to 100 inches in size and a laser projector combined with a dynamic splitter, allowing us to project to 4 other live games on the main screen for a total of 12 simultaneous events. You will be known as the wall and will debut with March Madness, with this amazing viewing experience combined with our industry-leading food and beverage option, I can't think of a better place to watch those games. 27:14 We will also continue to explore new content sources and deliveries to supplement our existing mainstream movie content. And we are also looking ahead to returning to strategic growth in our theater division when the time is right. Growth opportunities that we may explore in the future include newbuilds, management contracts or taking over existing theater leases and acquisitions. We believe our strong balance sheet positions us well to execute on this strategy, as attractive growth opportunities arise. 27:14 Before I wrap up my prepared remarks, I want to acknowledge the press release that went out last week announcing the impending May retirement of Doug Neis, our Executive Vice President and CFO. After 36 years of service with The Marcus Corporation, will save our goodbyes until our first quarter earnings call in May. And I'm happy to note Doug has agreed to continue to provide advisory services to the company after his official retirement date in order to ensure that the transition to our new CFO is seamless. 28:08 And while we are sad to see Doug go, we're equally excited to be able to promote Chad Paris, our Corporate Controller and Treasurer to CFO upon Doug's retirement. Chad has been with us since October, working alongside Doug as we prepared for this eventual transition. He brings with him a wealth of experience in all the areas needed to be a successful CFO. We're excited to have someone of Chad's experience and expertise step into this role and we are confident that Chad is the right person at the right time. 28:34 We look forward to you getting to know him in the periods ahead. I would also be remiss, if I didn't wrap up this fiscal year by once again expressing my appreciation for our dedicated associates at The Marcus Corporation. It was only through their dedicated and outstanding work that we can be with you today celebrating the significant progress we've made navigating through the most difficult 2 years of our 86-year history. Yes, our key strategies include our balance sheet, our significant real estate holdings and our resilient diversified businesses that I referred to earlier. But our secret weapon has always been our people. We always say people are our most important asset and that was especially the case during fiscal 2021. So on behalf of our Board of Directors and our entire executive team, thank you to all of our associates from the bottom of our hearts. 29:23 With that, at this time, Doug and I will be happy to open the call up for any questions you may have.
Operator: 29:32 Thank you. [Operator Instructions] We'll go first to Jim Goss of Barrington Research. Jim Goss, your line is now open.
James Goss: 29:53 All right. Thank you and good morning.
Gregory Marcus: 29:55 Good morning, Jim.
James Goss: 29:58 I would -- good morning. So I would begin with asking about the Gurnee Mills the Wall. How do sports rates come into play there? Are you able to be treated as another bar and you don't have any issues dealing with that? How exactly -- if this could be a good template for you and the industry?
Gregory Marcus: 30:17 Yeah, that's exactly right, Jim. What we've done here is, we have taken this screen and basically converted to a sports bar, it will not play theatrical content anymore. This is now a dedicated sports bar, it has multiple screens, it has some really -- we have some really interesting technology here where you can bring your iPhone or your Android device and load an app on and put your earphones in and you can then select which broadcast you want to watch. So if you're not -- we'll have one over the main speakers, but if you don't want to watch it on the main speakers, you can watch all the others. But again we feel that this is essentially -- we converted this away from being a movie theater where we're projected, where we are selectively putting up sports events to a sports bar.
James Goss: 31:13 Okay. And have you basically taken-out the seats then and put high-rise tables or something like that for the viewers?
Gregory Marcus: 31:24 Jim, it’s the most comfortable versus last part of world or comfortable things. No, we've got actually -- I think that said have kiddingly, but we probably actually argue to take some seats out. We haven't figured out which ones yet, but we're going to do -- we're looking for some opportunities to put some high tops in. We're trying – we got to be careful of viewing angles.
James Goss: 31:43 Right.
Gregory Marcus: 31:44 We also could potentially put in a portable bar in this space as well. We're going to have food and beverage delivered to the seats. So that again as a sports bar, we will be -- and to differentiate really anywhere else in the theater, we'll be delivering the food and beverage everything to the seats. But it is -- but yeah, we're going to keep those seats in, because that's really one of the things we think makes us special.
James Goss: 32:08 Okay. One of the other things is, there were a number of footnotes in the...
Gregory Marcus: 32:15 Oh, I'm sorry, Jim...
James Goss: 32:17 [Indiscernible].
Gregory Marcus: 32:17 The other thing that differentiate us that on the sports issue thing, is we're not charging to get in.
James Goss: 32:24 Okay. Yes, that would be [Indiscernible].
Gregory Marcus: 32:28 I can look for you then. You can walk right in, the goal is to make money in food and beverage.
James Goss: 32:33 Okay. In the statements where you're taking out net income to adjusted EBITDA, pretty much all of the footnotes relate to COVID-19 type events from over the past year. I wonder if you might talk about some of those and how much of those would be ongoing or well at some point you'd be sort of even from those COVID-related adjustments and what ones do you think are significant to you?
Douglas Neis: 33:09 Well, Jim, really when you look at most of them are in the past, right? I mean, the biggest thing that happened this particular quarter was the government grants and federal tax credits, which was a -- we had to actually reduce the number. We took a favorable event and took it out in order to come down to adjusted EBITDA. 33:30 Our unadjusted EBITDA was higher than what we reported. But as you can see, we had nearly $7.4 million in additional COVID-related government grants and there was -- and a portion of that was also some federal tax credits that we were entitled to also related to some COVID legislation. 33:51 So, I mean will there be any more of that in the future? I don't know, I can't -- we don't have anything that we immediately see, but that's really the main thing that happened during this quarter and for the year. If you look at it, we had almost -- we had over $10 million of that for the full fiscal year, all favorable this year. We also had some minor impairment charges in both the quarter and the year and those are more related to some of the real estates we're evaluating and some -- and but these are all small amounts that were just around the edges. 34:31 So as you see, last year there were all sorts of these other additional COVID adjustments related to reopening expenses, closing expenses et cetera, but you don't see a lot of that this year, and we would expect going forward that there would be less adjustments like that.
James Goss: 34:51 Okay. And lastly from me for now. The Searchlight Capital joint venture which I think is tremendous, it seems to fit really well into the strategy you've had. How aggressive are you expecting this to be in terms of securing property and how quickly say this Kimpton Monaco Pittsburgh hit the financials? How important will it be on the cost and expense side and how quickly?
Douglas Neis: 35:22 Yes, let me take the second half of that first and I'll let Greg talk to the kind of the overall arrangement and everything else. Look, because this is off-balance sheet, right, we have a minority interest in this property. The only thing you'll see will be on the kind of below the line, below operating income, you will see that equity earnings and losses and joint ventures. And so our share of that of any earnings or losses from that property will show up on that line, not particularly, I mean it was a small amount this particular quarter, we only had it for half of December. 36:05 And so not really -- you can't really judge anything from what you're seeing in this particular quarter. On a going-forward basis for any individual property with only a 10% interest, it won't be a particularly large number one way the other, but as we continue to execute on the strategy, we would expect that you would start seeing some more impact there and we'll have to do a good job of explaining that and making sure that you guys as investors understand that the value that we have there in these ownership interest and some of these properties. 36:47 The only other thing I'd mention is that of course, we also have a management contract. And so that management contract that does show up in the P&L up in our other revenues. And again, you wouldn't see it this quarter, but on an ongoing basis we also have those management fees coming in.
Gregory Marcus: 37:05 Anything to build on that a little bit, I think you just got to -- it makes things a little more lumpy because we expect to see here eventually value realizations. And so if you go back and you think about sort of what happened with the Westin Atlanta perimeter for those of you who have been with us [Indiscernible] Jim I know you have been the – we saw a big value realization when the asset was monetized. So there should be more of that going forward. 37:32 Look how aggressive. I mean, I won't -- I don't like to -- aggressive is not the word I like to use, because we're not typically we're not aggressive, we're opportunistic. And our job number one is to deliver great returns to our investment partners and our investors in our company. And so we are looking for these assets aggressively to make opportunistic investments. And as the markets present themselves, we will be able to do that, the markets have been pretty aggressive generally, so we are looking at – we're looking very carefully at every asset that we can, this fit our template, it's a special asset. 38:15 We've said and if anything the pandemic has highlighted, a strategy that maybe I don't know that I could have said that we were intentional about necessarily accepting just sort of maybe in our fiber that we always wanted to have really special grade assets, whether it's the Pfister or The Saint Kate or The Grand Geneva or the Skirvin. These are these assets and these markets that sort of transcend just being a business hotel or a leisure hotel and again this Kimpton Hotel Monaco in Pittsburgh is not just a business hotel, it attracts leisure traveler, it has a very broad base. So, we'll keep looking for these special assets and when the opportunity -- when we see an opportunistic game play, we're going to get our partners on board and go for it.
James Goss: 39:00 Yes, just one refinement, does the 10% stake mirror what you do in every case, or can you participate to a larger extent if you want to from an investment standpoint?
Douglas Neis: 39:15 It would be an asset-by-asset decision, I mean we've said previously, Jim, you've heard us talk about that in general, that's the neighborhood that we see ourselves participating and as we move forward on deals, but again it would just depend.
James Goss: 39:32 Okay. Thank you very much.
Operator: 39:39 Thank you for your questions. Jim. [Operator Instructions] Our next question comes from Eric Wold of B. Riley. Eric, your line is now open.
Eric Wold: 39:56 Thank you. Good afternoon. Just a follow-up question on the -- a follow-up question on the last comment around hotel monetization opportunities. I guess, how do you think about that opportunity in general? How much is driven by current demand trend, the kind of the opportunity to recover? Is there a mindset that you just want to lessen kind of hard asset ownership in general, you're just not sure which property it may be or is there a scenario where nothing may be sold?
Gregory Marcus: 40:36 I don't think – I don’t think it's a scenario where we want to lessen our hard asset investment. I think it's more of a -- it's more of an issue with portfolio management as we said in the remarks, what fits with our portfolio, what makes sense, what are the markets look like, what are the big reinvestment needs in any particular asset and so again that all comes under portfolio management, where do we want to put the capital, where should we be making the investments, because these assets do require reinvestment. But as we've always talked about again, this is as we get to a cash flow positive position again, what are we going to do with our cash flow? 41:20 Our theater business really doesn't need a lot of investment, that theater business as we've said it's like buying a brand new car at this point, we really upgraded the whole fiscal plan significantly. But over the last 5 years or so maybe going back 7 years if you think about it. The -- and so as we look to do with cash flow, we're going to do we've always done which is see about returning capital to shareholders and making other investments which is good, so we can put capital to work for people very tax efficiently.
Eric Wold: 41:55 Got it. Thank you. And then kind of looking back at some of the comments earlier in the call, in the press release around the outperformance of both the theater division and hotel division, Q4 as well as full-year, clearly the Q4 outperformance amounts were lower than the full-year, obviously, competitors have reopened probably at a slower pace than Marcus had? So there's some catch-up from the competitive set there I imagine? But anything to read into that in terms of just that cadence and how should we think -- where are your thoughts kind of you look forward to 2022 in terms of the ability to maintain and potentially you can grow market share and our performance levels?
Gregory Marcus: 42:44 Well, I think you're right that seeing people reopen is moderating our gains. But I also think that some of that's going to be a more permanent gain because of just above when you called path dependency, it's couple of things, one is the economic theory of the old horse follows the path once they've wanted in and so the advantage of getting people to move to your facilities where that's possible it will be – is important. The -- but again we're looking at on a national basis which we did, just having the other guys open up is helpful. 43:28 But we believe we have a superior product, we have superior teams, our teams are even -- it's even -- we see this in all of our businesses, where we made a decision as we've talked about early on which was we wanted to stay open as best we could if we could basically lose less money being open or closed, this was a decision a year and a half ago in the height of the pandemic. 43:54 We did that for a couple of reasons, and one was, so we keep employing people, we thought that was really important. And then we also felt it was important just to keep the business with momentum. And I think that pays-off now. We have teams in place that we were – that we kept in place, where others didn't have that. And so I think that should work to our advantage. Can I quantify it? No, I can't quantify it, but I think it's to our advantage.
Eric Wold: 44:23 Very helpful. I think last question and the last point on labor. Maybe update kind of on what you're seeing right now with labor availability in your markets, wage rates, how much higher wage rates right now than they were back in '19 for example and beyond taking price where you're seeing the best opportunities to leverage that and become more efficient?
Gregory Marcus: 44:53 Well, let me walk backwards and I'll let Doug maybe speak to more specific numbers. In terms of just where do we see opportunities, what we talked about is, I think it's going to be how do we leverage technology for the most part to extend what is -- which is a limited labor force, a shrunken labor force. Now look, I do think that there is going to be -- and we are even seeing some of the labor force come back, but I'm not here on this call to tell you all, it's all back to where it was, not. But especially I think a lot of our segment is as saving start to get -- I think look, we know there have been historically high savings rates in the country, as saving start to – if you're not working and savings start to get eaten into, you start to go back to work in, anecdotally, I don't have a mathematical number to tell you. 45:45 We're finally starting to see across many of our businesses, but we actually put up job postings, people showing up for interviews, which is a positive. But yet still, we know that we're still facing a tougher labor market and inflation and all those things. And so it's going to be things like, I think I was really cool, we talked about the use of a robot to clean bathrooms, to make our housekeeping labor force more efficient. It's going to be -- we have movie tavern, we shift in the model of movie tavern where we had, and this was actually pre-pandemic. One of the challenges that we had was with the model of people coming up and having their servers take the order. 46:27 We moved to a model where now you can order on your app on your phone. And so we're moving and just going to runners, that obviously makes that labor force much more efficient, again relying on technology and we're doing that in our theaters with orders, we're going to be really focused on getting the book order on their phones, because that gets shortens up the line, the concession, which also works to our benefit in multiple ways in terms of helping that per cap. 46:56 So really across – you could be in one of our hotels and be in some of our restaurants, probably our most highest end restaurant, but you might be ordering your food – you might order your food off the app, and have it run to you as opposed to having a server as just due to the fact that we can't be as reliant in the labor markets. So there is all sorts of ways to do that, that we're working with.
Douglas Neis: 47:18 And then first part of your question Eric, look, we don't have a one size – I don't have a one-size-fits-all kind of percentage or number for you, because our labor forces are quite different in our hotels, in our theaters. We've seen increases across the board, no question about it and what we've -- in our wage rates in both of our businesses. 47:40 Having said that, that's where it gets interesting right, because yet -- we also shared with you our per capita increases, Greg just talked about it in a second go on our theater side for example. Those – it's not that we took -- it doesn't mean that we took an 11% increase in our ticket prices or a 15% to 20% increase in our concession prices. We were able to generate more person, which significantly helps some of these labor issues that we're talking about, and it wasn't, and it's not just by just raising prices. 48:16 Greg in his prepared remarks talked about, I mean we're going to take -- we are and have been looking at our strategies include looking at pricing and how to basically do revenue management which we've been doing forever in our hotel business. And so we will continue to experiment and test some different ways to be able to be smart about our pricing and try different ways to do that, in ways that can also then help to offset some of these wage increases that we are seeing. We've done some experimenting already and we expect to do some more in the future.
Eric Wold: 48:59 Perfect. Thank you, guys.
Operator: 49:05 Thank you. At this time, it appears we have no further questions. I'd like to turn the call back to Mr. Neis for any additional or closing remarks.
Douglas Neis: 49:12 Well, thank you. Like – certainly, I like to thank all of you once again for joining us today. We look forward to talking to you once again in early May when we release our fiscal 2022 first quarter results. Until then, thank you and have a great day.
Operator: 49:29 That concludes today's call. You may now disconnect your lines and have a wonderful day.